Operator: Good afternoon and welcome to the Data I/O Fourth Quarter 2022 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jordan Darrow, Investor Relations. Please go ahead.
Jordan Darrow: Thank you and good afternoon, everyone. Welcome to the Data I/O fourth quarter 2022 financial results conference call. With me today are Anthony Ambrose, President and CEO of Data I/O Corporation and Joel Hatlen, Chief Operating Officer and Chief Financial Officer of Data I/O. Before we begin, I’d like to remind you that statements made in this conference call concerning COVID-19, future revenues, results from operations, financial position, markets, economic conditions, silicon chip shortages, supply chain expectations, estimated impact of tax and other regulatory reform, product releases, new industry partnerships, and any other statements that may be construed as a prediction of future performance or events are forward-looking statements, which involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. These factors include uncertainties as to the impact from COVID-19, including the 2022 outbreaks in China, the Russian war with Ukraine, including any related international trade restrictions, along with continued reopening and recovery efforts within the relevant global supply chain and among our customer base, levels of orders for the company and the activity level of the automotive and semiconductor industry overall, ability to record revenues based on the timing of product deliveries and installations, market acceptance of new products, changes in economic conditions and market demand, part shortages, pricing and other activities by competitors, and other risks, including those described from time to time in the company’s filings on Forms 10-K and 10-Q with the Securities and Exchange Commission, press releases and other communications. The accuracy and completeness of forward-looking statements should not be unduly relied upon. Data I/O is under no duty to update any of these forward-looking statements. And now I would like to turn over the call to Anthony Ambrose, President and CEO of Data I/O.
Anthony Ambrose: Well, thank you very much, Jordan. I’d like to begin my formal remarks by addressing our 2022 fourth quarter and full year financial and operational performance and then I’ll turn over the call to Joel Hatlen for a more detailed look at the specific numbers. Our performance in the fourth quarter and second half of last year demonstrated a strong rebound from a challenging set of conditions in the first half. Underlying demand for our products remain strong as silicon shortages abate and the automotive and industrial markets consume ever-increasing amounts of silicon. We observed an expansion of our sales funnel and bookings growth in the second half of 2022, leading to improved sales and operational momentum that is continuing into 2023. For the fifth consecutive quarter, we achieved bookings in excess of $6 million with the fourth quarter 2022 bookings of $6.8 million, reaching the highest level for a fourth quarter since 2019. Bookings for the year were $26.5 million, the highest level in 4 years and $1 million higher than in 2021. Due to the challenges associated with lockdowns in China earlier in 2022, our revenue for the year was lower than in 2021, but our revenue in the second half of 2022 was 11% higher than the prior year period. The second half comparisons are up despite a meaningful negative impact of U.S. dollar strength versus the euro, yuan and most other foreign currencies. Stepping back a bit, we believe demand is strong and being driven by multiple factors: number one, the continuing recovery in the automotive electronics market, including improved silicon availability; number two, the accelerating adoption of electric vehicles, which consume 2x to 3x the silicon content of cars built around the internal combustion engine; number three, the strength in the industrial sector, including factory automation advancements; number four is onshoring to North America as part of a global China Plus One Strategy for the electronics industry; number five is the recovery in Europe that’s digested the impact of the war in Ukraine and higher interest rates and inflation and has stabilized and is growing again in the second half; and number six is the impact of government policies here in the U.S. to support onshoring and security requirements. This is a push from the government that is useful for growing the electronics industry in North America as well as requiring security in certain products. Job one for us is to continue growing our business in the automotive and industrial markets. We did this well in Q4 and overall in 2022 as we acquired 21 new customers for our products worldwide. The growth in automotive electronics includes growth in the infotainment systems, advanced driver safety systems and electrification. As mentioned earlier, electric vehicles are estimated to require 2x to 3x the amount of electronics content per vehicle as compared with internal combustion engine models. Even if the total number of cars and light trucks levels off, the sheer number of EVs taking market share as well as increased complexity for infotainment and advanced driver assist systems grows the amount of electronics content and programming content required in the automotive industry. We have multiple wins globally in the EV segment. We further solidified our leadership position in automotive electronics last year with the market accounting for over 60% of our bookings in 2022. In addition to automotive, we are excited about SentriX last year. Our total SentriX bookings and revenue increased by over 100% for the second consecutive year. The volume of program parts in 2022 set a record as several customers went into production in the second half and specifically the fourth quarter. We saw a sharp increase in overall units programmed in Q4. After the quarter, earlier this week, we announced an expansion into Japan through our new sales distribution partnership with NOA Leading, a leading programming center and distributor in Japan. We’re very pleased to have this reach into one of the world’s largest and most advanced electronics markets, where they clearly recognize the need for security and now have a local option for SentriX. Total recurring and consumable revenues represented 43% of our total in 2022, an increase from about 42% in the prior year. Our growth in recurring revenue as a percentage of total revenue tracks the installed base of PSV systems throughout the world as well as the increased value delivered through our software and security product lines. The end of 2022, we deployed over 440 PSV systems worldwide, an increase of 58 systems during the year. With 21 new customer wins last year, we achieved a second consecutive year where we added over 20 new customers. In addition to global service, resilient supply chain, we attribute this customer growth to our technology innovation, continued investment in R&D and the expansion of our intellectual property portfolio. Both the automotive, electronics and industrial automation industries are forecasting greater complexity of programming and acceleration in the amount of code going into semiconductors and microcontrollers and the need for improved efficiency, scalability and security. We continue to invest to meet these needs as Data I/O remains at the forefront of the industry. The company’s strengthened IP portfolio includes multiple new patents and patent extensions issued in 2022 in several countries. During 2022, new product launches included our VerifyBoost technology to support the automotive memory market with substantially improved UFS programming times by accelerating the Verify portion of the programming cycle by a factor of 4.5x. We demonstrated connected factory enablement with our ConneX software, significantly improving factory integration with programming. This application supports hardware-based security and mass market IoT edge devices and enables OEMs to protect revenue-generating business models and secure their supply chain. We also benefit from the potential impact of government spending such as the Creating Helpful Industries, otherwise known as the CHIPS Act and the Inflation Reduction Act of 2022. These regulatory issues point towards onshoring a significant push from the U.S. government and European governments to make sure they have semiconductor production and electronics production within their domains. And we’re also seeing both in Europe and the United States increased activity for governments to specify and mandate security in certain product lines. As we look forward to 2023, we get pretty excited when we look at our marketing efforts and especially the most recent APEX trade show held in San Diego in January. This is the first full-scale event at APEX in 3 years, and we had a very exciting show. Our leads and scans were up over 100% versus 2021, with a large majority of our visitors being new contacts. So again, we think this reinforces the themes we talked about, about onshoring, new customers looking for programming. And those customers are excited to talk to Data I/O about their needs in automotive, industrial and other markets. In addition to the U.S., we see a strong Mexico market as well as a strong recovery in EMEA that started in the second half of 2022. So as we said in the release, amid an economic backdrop where we expect a moderate recession and soft landing, we’ve positioned the company for revenue growth, increased net income and cash flow generation in 2023. We have a positive outlook with a high level of backlog and deferred revenue, combined with a very strong sales funnel and weaker U.S. dollar. Our end markets of automotive and industrial electronics continue their long-term growth in semiconductor consumption with fewer supply chain issues. We see a surge of investment in electronic vehicles that drive substantial increase in semiconductor content. And finally, as we just discussed, demand will be benefiting from government mandates and recent investment decisions. Before I hand it over to Joel, I’d like to close by briefly highlighting the fact that, as we announced in our release, after more than three decades at Data I/O and approaching his 65th birthday, Joel is planning to retire in the second half of this year. This allows us to implement an orderly transition as we look for a new CFO. On a personal note, I’d like to take this opportunity to publicly acknowledge Joel for his many contributions to the company and to the programming industry overall. When I joined the company as a first-time CEO over a decade ago, it was very comforting to have a seasoned and experienced financial partner in Joel as my CFO. He has been a very valuable partner, a friend and a leader as well as being some of the utmost integrity and character and he will be a hard act to follow. With that, I will turn it over to you, Joel.
Joel Hatlen: Thank you very much, Anthony and good day to everyone. I’d like to start my remarks by commenting on my retirement. Today, I am celebrating my 100th earning call, which is probably about plenty. As Anthony discussed, I expect to retire in the second half of the year, giving the company sufficient time for a very smooth succession and transition. September will mark my 33rd anniversary with Data I/O and I have been privileged to work with so many talented individuals and friends, who collectively have made an indelible impact on the semiconductor programming industry. The last few years were perhaps the most challenging ever to have been experienced by most public company professionals managing a global enterprise. I am proud that not only did we survive. We emerged even stronger both operationally and in our technology and solutions platform. Given the trajectory we are on, I have great confidence that I will leave the company in a very strong financial position as well. Now on to our year end ‘22 results, I’ll start with the balance sheet and then move to the income statement. Data I/O’s financial condition remains strong. We ended the year with $11.5 million in cash. That’s an improvement of – from $11 million on September 30 and $10.3 million on June 30. As we typically note each year, the first quarter of 2023 has certain public company costs and payment of annual accrued compensation items that typically use more cash than in other quarters. Net working capital on December 31 was $17.6 million, up $1.1 million or 7% sequentially from $16.5 million at the end of the third quarter and up from $15.9 million at midyear, although down from $18.5 million on December 31, 2021. Days sales outstanding, or DSO, a receivables collection measure was at 72 days as of December 31, 2022. That is higher than our target and reflects later in the quarter sales that were not able to be collected during the period. Inventory of $6.8 million on December 31 was down from $7.1 million on September 30 but still higher than the $6.4 million at the end of last year. During the past year, the increase in inventory related to our decisions to hold additional inventory to address shortage risks, improve our resilience as a supplier and support our higher backlog and bookings levels. Our backlog on December 31, 2022, was $4.8 million, close to the $4.9 million that it was on September 30 but substantially higher than the $2.9 million at the end of 2021. The higher backlog levels of the second half of 2022 reflect improved business conditions and the demand for our equipment. Now on to the income statement. For the fourth quarter, revenue of $7.3 million was up from $6.4 million in the fourth quarter of 2021 and $7.2 million in the third quarter of 2022. For the year 2022, revenues were $24.2 million versus $25.8 million in 2021. The war in The Ukraine, the strength of the U.S. dollar impact on our foreign revenues, semiconductor shortages and China’s COVID lockdown really impacted revenues for the first half of 2022. Our business rebounded in the second half of the year. We had $14.5 million revenues in the second half of 2022, up from $9.8 million in the first half of the year and compares to $13.1 million in the second half of the prior year. With approximately 92.7% of our revenues derived from outside the United States, our top line growth on a consolidated basis as reported in U.S. dollars does not reflect the true strength and rebound of our performance, particularly in the second half of 2022 as our business returns to more normal conditions. Many international currencies have devalued against the U.S. dollar in 2022. In particular, the dollar gained against the euro and the China yuan where our overseas operations are based. These resulted in their financials translating into lower reported revenues on a U.S. dollar consolidated basis. Despite this reporting convention, there is no associated impact with our regional market share and operations in local currencies. We saw the U.S. dollar begin to weaken towards the end of the year and now early in 2023, providing a more favorable translation situation for our foreign revenues expected in 2023. Automotive electronics orders represented 61% of 2022 bookings and continues to be our primary addressable market. For comparison, in 2021, 58% of our revenues were derived from the automotive sector. Capital equipment represented 57% of 2022 sales. In 2021, capital equipment represented 54% of sales. Consumables were 30% of sales for both years. Software and services revenue were 13% of ‘22 revenue, up from the prior year’s 12%. On a geographic basis, international sales represented approximately 92.7% of revenue for ‘22 compared with 89.9% in the prior year. Fourth quarter bookings for 2022 were $6.8 million up from $6.2 million in the fourth quarter of 2021. For all of ‘22, bookings were $26.5 million, up from $25.5 million in 2021. The resumption of operations and shipping in Shanghai was reached during the latter part of second quarter, so with the third quarter, we were able to catch up to more normal deliveries. Further with our effective supply chain strategies, we were able to build and ship a lot of products in the second half of 2022, especially items related to the previous Shanghai COVID shutdown period. As a result, our backlog at the end of the year of $4.8 million decreased slightly from the $4.9 million at the end of the third quarter and was up substantially from the $2.9 million at the end of the fourth quarter of 2021. Gross margins were 55.5% in the fourth quarter and were up from 54.4% in the fourth quarter of 2021. The increase was primarily due to the higher revenues partially offset by the currency strength of the U.S. dollar. Inflation was an issue for everyone in 2022. We believe we were able to adjust our prices and mostly moderate the impacts of inflation on our margins. For the full year 2022, gross margin was 54.5%, down from 57% in the prior year. The lower gross margin was primarily the result of lower revenues, inventory charges and the currency impact. Operating expenses were $34 million in the fourth quarter of 2022, down as compared to $30.7 million in the fourth quarter of the previous year. For the full year, total operating expenses were $14 million in 2022 as compared with $15 million in the prior year. The primary differences in operating expenses are reduced sales, volume commissions and performance-based incentive compensation, along with lower costs from currency-related subsidiary expenses and ongoing spending discipline. Funding our R&D continues to be a large priority. R&D expense was $1.5 million in the fourth quarter compared to just over $1.6 million in the fourth quarter of 2021. Selling, general and expenses – selling, general and administrative expenses were just under $2 million in the fourth quarter, which is consistent with the third quarter of 2022 but lower than the fourth quarter of 2021 when we had just over $2 million in selling, general and administrative expense. For all of 2022, SG&A was $7.9 million as compared to $8.4 million in the prior year. Taxes in the fourth quarter and full year consisted of foreign taxes on the profits of our overseas subsidiaries and U.S. income tax. Please note that the year-to-date 2022 taxes included the dividend withholding tax on our first quarter repatriation of cash from China. The company had net operating losses carry-forwards of approximately $17 million on December 31. Net income for the fourth quarter was – of 2022 was $510,000 or $0.06 per diluted share compared with a net loss of $205,000 or $0.02 per share in the fourth quarter of 2021. For the full year ended December 31, 2022, the net loss of $1.1 million or $0.13 per share compares with a net loss of $555,000 or $0.06 per share in 2021. For the second half of 2022, the company had net income of $1.4 million compared with a net loss of $1.1 million in the first half of 2022 and a net loss of $193,000 in the second half of 2021. We had 808,816,381 shares outstanding on December 31, 2022. Adjusted EBITDA earnings of $831,000 in the fourth quarter of 2022 compares with the adjusted EBITDA earnings of $117,000 in the prior quarter period. For the year 2022, adjusted EBITDA earnings of $1.3 million compare with the adjusted EBITDA earnings of $1.5 million the prior year. For the second half of 2022, adjusted EBITDA earnings were $2.3 million, up nearly 3x the $700,000 of adjusted EBITDA earnings in the second half of 2021. Overall, we remain very strong financially and continue to have no debt. Regarding our expectations for 2023, the healthy levels of backlog and deferred revenue at the end of 2022 are expected to be shipped and recognized as revenue primarily in the first quarter. With the strong sales funnel, as Anthony addressed in his remarks, we are planning for double-digit revenue growth in 2023. We expect relatively flat operating expenses throughout 2023 with primary variations due to sales and incentive compensation and the impact of currency changes. Gross margins are expected to continue to be in a range of mid to high 50s throughout the year. That concludes my remarks for the fourth quarter and full year of 2022. Operator, would you please start the Q&A process?
Operator: Thank you. [Operator Instructions] And our first question will come from David Kanen from Kanen Wealth Management. Please go ahead.
David Kanen: Hi, guys. Congratulations, solid quarter.
Anthony Ambrose: Thank you, Dave.
Joel Hatlen: Thank you.
David Kanen: So if you don’t mind me like bending the rules a little bit, I have a couple of connected questions related to the income statement. Joel, you called out public company expense in the quarter. Is that – were you referring to Q1? Or was that Q4?
Joel Hatlen: I’m referring to Q1. I’m saying that I expect our cash flows to, just about like every year, have a significant payment out for the accrued year-end of 2022, things like our pension 401(k) match, different accrued compensations at the end of the year, along with the cash requirements for G&A on audits, NASDAQ fees and similar public company operating costs. No difference in [indiscernible].
David Kanen: So does it all run through the income statement in Q1? Or are you just talking on a cash basis, it affects us in Q1?
Joel Hatlen: The pension and year-end accruals affect us on a cash basis. The other items affect us on a P&L basis as well as cash.
David Kanen: Understood. Okay. And then in terms of gross margin, I know that – I believe they were up slightly year-over-year, but there have been times where we’ve received up to 60% or even slightly better. Are those days long gone? Or should we anticipate them coming back? And was there anything unusual in terms of mix that affected gross margin?
Anthony Ambrose: So Dave, it’s Anthony. I think Joel said that our guidance for the year is margins in the mid- to high 50s on a percentage basis, so that’s what you should plan for, for 2023. As you know, quarter-to-quarter, they can bounce around a little bit. What should help is the dollar will be a little bit weaker, we think, Q1 than it was in Q4. And the mix can affect the gross margin quite a bit. As you know, we sell products directly through reps and also through distributors. The way a transaction gets accounted for depending on the channel can substantially change the gross margin with an offsetting change in cost of sales because the way we account for a distributor sale as we discount to the distributor, the way we account for a direct sale is we pay out a sales commission. So the same transaction ends up with pretty close to the same net to the company, but one will have a much higher gross margin with a much lower cost of sales, the other one vice versa. So going forward, as we grow revenue and scale, that’s helpful for gross margin. A lot of it depends on currency, channel and product mix. But as we said, I think for 2023, you should count on mid to high 50s. That’s our best view right now.
David Kanen: Understood. And then can you provide some context in terms of backlog year-over-year and then also orders? I know orders for Q4 were $6.8 million. But how does that compare to last year’s Q4? And then the backlog, I believe, was $4.8 million. How does that compare to last year’s backlog for context?
Anthony Ambrose: Yes. Both were better. As I indicated in my remarks, our bookings overall were the strongest for the year and strongest for the Q4 in a 4-year period. So that was clearly very strong. The backlog was up substantially year-over-year by about $2 million. So again, that’s very strong, and that gives us a good tailwind going into 2023.
Operator: Thank you. And the next question will be from David Marsh with Singular Research. Please go ahead.
David Marsh: Hi, thank you very much for taking the question, guys. And congrats on the quarter. And Joel, congrats on the retirement announcement. It sounds like well-deserved after such a long period in the company.
Joel Hatlen: Thank you much.
David Marsh: In terms of questions, my first question is just, in general, with regard to the automotive industry. Obviously, the industry has been kind of lagging in terms of chips for quite some time. Can you kind of give us an update on where things stand today in terms of suppliers and their ability to get chips into new vehicles? Are we still facing a backlog? Or are we caught up at this point?
Anthony Ambrose: Well, I think the general sense we get from the industry, and there is some variability between various companies, there is still some issues out there. They have gotten a lot better than I think the worst. Worst was a couple of years ago. And the sense is they’ll continue to get better. Part of that is just the issues working themselves, working themselves out. And the other part is competition from other markets like PCs and mobile phones for common parts. The competition from those industries has dropped substantially, so more is available to go to automotive. So overall, it’s in a much better place. I think you can still point to shortages, but we expect it to continue to get better throughout the year.
David Marsh: So there is a chance I could get my two missing chips for my ‘22 Suburban then?
Anthony Ambrose: Call Mary for that one.
David Marsh: Just along the same lines on the supply chain side, could you talk about China in particular, in terms of what is going on in that market? Obviously, you guys have operations there. I mean has there been a significant disruption there as a result of the prolonged shutdowns? And what is the future for China in terms of how it may or may not relate to the U.S. with what’s coming down from the administration about buy American and more chips made in the U.S. and so forth?
Anthony Ambrose: Understood. So I mean the old Chinese saying, may you live in interesting times, certainly apply to 2022, first, with the lockdown and then with the complete change in policy with respect to COVID. From our business, we actually had a very good year in China last year, even with all of that disruption. We think the most important thing for our automotive customers, and that’s where we really focus, is to have a resilient supply chain. We have operations here in Redmond. We’ve had operations and manufacturing in Redmond for 50 years. We’ve had operations in China for almost 20, and we build products in both places. And that gives us some unique advantages of being able to support both the China market from China and the U.S. market from the U.S. and other markets from wherever we need to. If it comes to a situation where there is a real global disruption, it’s going to be impactful to anybody no matter where they are. You could make a case that Taiwan would suffer if there was any kind of armed conflict there. Getting product in and out of Taiwan would be a challenge if there is an earthquake in Taiwan, where some of our competitors are based. Other competitors are based in areas that have had massive flooding. And it’s not just geopolitical considerations but weather and Mother Nature that really, I think, help us explain to our automotive customers the benefits of a resilient supply chain where we can build in multiple locations. So from our standpoint, we benefit from having operations in China. We benefit from having operations in the U.S. We benefit from having customers in both China and the U.S. as well as globally. And so I think on that framework, it’s very clear that most companies that have a significant presence of manufacturing in China, for a variety of reasons, want to have what’s commonly called the China Plus One Strategy. So the China Plus One could mean China plus North America, could mean China plus Southeast Asia, could be China plus somewhere in Europe. And again, with that policy, when those customers look for a programming equipment supplier, they say what can I get in China and anywhere else in the world that I can standardize on and have a job that my engineers create in one location, run in factories anywhere. And so when you look at something like that, Data I/O is really the only choice for these companies that are truly global in outlook. So it creates some turbulence, but at the end of the day, China Plus One or onshoring or people insisting on a resilient supply chain is really to Data I/O’s benefit because we’re the only resilient supplier in our industry.
Operator: Thank you. [Operator Instructions] The next question is from Mike Joseph with [indiscernible] Ventures. Please go ahead.
Unidentified Analyst: Hi, guys. Thanks for the time. A couple of quick questions. How should we think about bookings versus revenue for capital equipment as an indicator of business strength?
Anthony Ambrose: Typically, bookings are the leading indicator. We get an order, obviously, before we recognize revenue. If you look at years of data, typically, we ship revenue in the quarter following a booking. So it’s a leading indicator for us overall, and on a – there is going to be some quarterly fluctuation. But overall, we had bookings growth year-over-year, and we think that’s an indicator of the underlying strength of the business.
Unidentified Analyst: So it’s a relatively short time frame bookings to revenue.
Anthony Ambrose: Typically, yes. Sometimes customers will book in advance. Let’s say they are setting up a new factory. They want to line up supply, but typically, it’s – we ship within a quarter.
Unidentified Analyst: So another question. You’ve talked about industrial automation as being another strong market behind automotive, and so I’m curious as to how your programming technologies are leveraged for the industrial market. And can you estimate the size of it and maybe what your thoughts are as far as growth is expected?
Anthony Ambrose: Well, I think for us, the industrial market is a market that can be as big as the automotive electronics market. What we’re seeing, it has a very different shape to it than the automotive electronics market. The high-end industrial customers have requirements that line up extremely well with automotive electronics. So what we do to support automotive naturally allows us to support industrial applications, especially at the high end. But what’s also very interesting is we’re seeing more and more tight integration of programming equipment into the computerized control of the factory through so-called MES systems. And that’s a big advantage for Data I/O because our equipment with our ConneX product is much more naturally integrated into those MES systems, both for managing jobs and pulling out information from programming jobs. Increasingly, we think this will become more and more important as traceability and security become more and more important everywhere.
Unidentified Analyst: If I may follow on with that, you mentioned the traceability, and I’m curious how that is looked at in terms of the automotive OEMs and how your machines are positioned to provide this.
Anthony Ambrose: I think we’re in the early stages of traceability. I think this is a capability that will become increasingly important in automotive. You can think about a use case where – if you have a problem, right, the standard recourse in automotive is a recall. And that’s a very blunt instrument. So if you think about a situation we’re saying, what if you have the capability to isolate a problem to a particular batch of firmware or a particular factory or particular operator or shift with traceability data that’s created at run time as you program parts, you could potentially save a lot of money by having a very straightforward recall and fix as opposed to having a much larger one. That’s just one-use case. I think we’re in the early stages of that concept for traceability, but it plays very well with some of the technologies we’ve developed like SentriX, ConneX and our family of platforms for programming.
Unidentified Analyst: And if I may, just one last quick one. So what would be the other reasons electronics manufacturers would choose your solutions?
Anthony Ambrose: I think we’ve touched on it earlier in maybe my prepared remarks, but really it’s the global support, the platform capability that I mentioned. If you have one electronics image you want to run in multiple plants worldwide, you need to have a consistent platform available to your plants in Europe, Mexico, China, the U.S., Southeast Asia, etcetera. And that’s what we offer with our PSV platform, support, the platform capability, the financial stability, the resilient supply chain, all the things we talk about.
Operator: Thank you. And our next question is from Chris Wachowski, a Private Investor. Please go ahead.
Chris Wachowski: Hello. Congratulations on great results.
Anthony Ambrose: Thank you.
Joel Hatlen: Thank you.
Chris Wachowski: So the slight drop in bookings from Q3 to Q4, is that something seasonal? Or is it just a result of the Q3 bookings being higher because of makeup from the previous COVID disruptions?
Anthony Ambrose: I think that’s a good question. The way we look at Q4 was our highest bookings in the fourth quarter in 4 years, and so we thought it was pretty good. There usually is some seasonality in our business. As I mentioned before on other earnings calls, the slowest period of the year is between Thanksgiving holiday in the U.S. and Lunar New Year in China, which crosses Q4 and Q1 from a bookings perspective. So that’s – having the bookings we had in Q4 was something we thought was a good result.
Chris Wachowski: Okay. That’s good to hear that it’s seasonal. And about China, there is very conflicting news about China, about whether electric car production is actually maybe reducing, prices going down. Is that affecting the capital equipment market negatively?
Anthony Ambrose: Well, if we saw electric vehicle prices going down, I would assume that there is some positive response to demand on that overall. The Chinese market has been, I think, very eager to adopt electric vehicles. We have a number of wins in China for supporting electric vehicles. But I think EVs are a phenomenon worldwide. We will see the demand figures bounce around a little bit, but we had a good year in China last year in automotive, and we’re looking forward to another good year this year.
Operator: Thank you. And the next question will be from Matt Winthrop from Equitable. Please go ahead.
Matt Winthrop: Good afternoon, gentlemen. I’m a retail broker, and Mr. Darrow, your IR guy got in touch with me. I think he’s doing a great job for you just for what it’s worth. Congratulations, it looks like you guys had a good quarter. I attended a conference or I heard you speak once and you talked about AI months ago before the recent pop. I’m just wondering if there is a niche there that you’re filling.
Anthony Ambrose: It’s an interesting question. I think AI can do almost anything right now. It sort of had a very busy 90 days. The critical thing, if AI allows people to generate code faster and more code and do changes faster for applications, at the margin, that probably has a benefit to our business because, again, people want to have more programming, more programming transition. The cloud market for AI per se, we participate a little bit in that. It’s not a primary focus for us. But as I said, I think AI at the margin is probably good for us.
Matt Winthrop: Right. And just as a follow-up. It looks like you guys are starting to hit on all cylinders. Are there any plans on trying to get out a little bit more into the brokerage world or conferences and such? And anything on the burner to that end, so we can get the word out a little bit more on you guys?
Anthony Ambrose: Well, we do get out. I’ll have to talk to Mr. Jordan Darrow, who’s doing such a great job, to see what our next conference is. I think we’re going to have an opportunity at the end of March. And we also do a lot – Maxim event at the end of March, I think, on the 30th. Joel, correct me if I’m wrong on that one. And then – and we will also be at embedded world in Germany, which is – it’s not an investor show per se, but I’ll have a chance to talk to a number of industry press and analysts about some interesting things that are going on in our business.
Operator: Thank you. Ladies and gentlemen, this now concludes our question-and-answer session. I would like to turn the conference back over to Anthony Ambrose for any closing remarks.
Anthony Ambrose: Well, thank you very much, operator. I wanted to – I think I addressed my point that I was going to make here at the end about being at the Maxim event and embedded world. So with that, I’d like to thank everyone for joining and close the call at this time.
Operator: And thank you, sir. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.